Operator: Thank you for standing by. And welcome to Perficient’s Second Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Jeff Davis, Chairman and CEO. Please go ahead.
Jeff Davis: Thank you. Good morning, everyone. This is Jeff Davis. With me on the call is Paul Martin, our CFO; and Tom Hogan, our President and COO. I want to thank you for your time this morning. We’ve got about 10 minutes to 15 minutes of prepared comments per usual, after which we’ll open up the call for questions. Before we proceed, Paul, would you please read the Safe Harbor statement.
Paul Martin: Thanks, Jeff, and good morning, everyone. Some of the things we will discuss in today’s call concerning future company performance will be forward-looking statements within the meaning of the securities laws. Actual results may materially differ from those discussed in these forward-looking statements, we encourage you to refer to the additional information contained in our SEC filings concerning factors that could cause those results to be different than contemplated in today’s discussion. At times during this call, we will refer to adjusted EPS and adjusted EBITDA. Our earnings press release, including a reconciliation of certain non-GAAP financial measures to the most directly comparable financial measures prepared in accordance with Generally Accepted Accounting Principles or GAAP is posted on our website at www.perficient.com. We have also posted a slide deck, which includes a reconciliation of certain non-GAAP guidance to the most directly comparable financial measures prepared in accordance with GAAP on our website under Investor Relations. Jeff?
Jeff Davis: Thank you, Paul. Once again, thank you your time this morning, as we discuss Perficient’s second quarter and our revised expectations for the remainder of the year. Before we close, I’ll comment on my pending transition to the role of Executive Chairman as well. Like Q1, revenue was up 4% during the quarter. Margins were impacted by the invention of sales cycles, client adjusting budgets and in some instances, projects ramping more slowly than we had anticipated. However, we want to pride ourselves on maintaining best-of-breed margins and have already taken appropriate action on discretionary and fixed costs to ensure we return to our historical norms by the end of the year. We can’t start the shift on a guide, but do expect to exit Q3 much closer to 39% gross margins and exit the year closer to 40% gross margins. And we’re fearing as well as most in the industry, but the market has certainly slowed more quickly than we’d anticipated it would. All that said, we’re continuing to pursue and win larger deals than ever before. In fact, Tom will speak to specifics later. But during the quarter, we signed the largest single statement of work in the company’s history. The win is a multiyear extension of an initiative that started in 2017 as a program worth about $1.5 million per year in revenue and we’re now delivering more than $30 million annually to this client on that same work stream, as well as many others. Bill rates remained solid during the quarter. In fact, onshore bill rates were actually up 4% year-over-year. Our customers continue to be comfortable accepting modest rate increases because we’re delivering value. Our transformation to a truly global entity remains underway. Offshore revenue grew nearly 20% during the quarter, 6% of that was organic, 58% of our billable resources are now located outside the U.S. Our technology and channel partners continue to recognize our contributions and importance to their businesses with various global and regional awards. In fact, in recent weeks, we’ve earned prestigious recognition from the likes of Microsoft, Adobe and Sitecore. While clients are clearly proceeding a bit more cautiously right now, we remain engaged in many seven-figure pursuits. Tom will talk in more detail shortly about the momentum across industries and our excitement around emerging technologies like generative AI. As we mentioned before, digital transformation is morphing into a digital business that is here to stay. Today, enterprises have no choice. They must consistently invest and deploy technology to grow or reduce costs. It’s a competitive imperative. With that, I’ll turn things over to Paul.
Paul Martin: Thanks, Jeff. Services revenue, excluding reimbursed expenses, were $226 million in the second quarter, a 4% increase over the prior year. Year-over-year, organic services -- organic, excuse me, organic services revenue growth was 0.8%. Software gross margins, excluding reimbursable expenses and stock compensation was 38.1% in the second quarter, compared to 40% in the prior year. SG&A expense was $44.2 million in the second quarter, compared to $40.9 million in the prior year. SG&A expense as a percentage of revenue increased to 19.1% from 18.3% in the prior year. The increase in SG&A expenses as a percentage of revenue was primarily related to increases in sales related costs. Adjusted EBITDA was $48.2 million or 20.8% of revenues in the second quarter, compared to $51.2 million or 23% of revenues in the prior year. Amortization was $5.5 million in the second quarter, compared to $6 million in the prior year. Net interest expense for the second quarter decreased to $0.3 million from $0.8 million in the prior year, primarily due to a $500,000 increase in interest income. Our effective tax rate was 24.9% for the second quarter, compared to 28% in the prior year. Net income decreased 5.1% to $26.4 million for the second quarter from $27.8 million in the prior year. Diluted GAAP earnings per share decreased to $0.73 a share, compared to $0.77 in the prior year. Adjusted earnings per share decreased to $1 for the second quarter from $1.06 in the prior year. You can see the press release for a full reconciliation to GAAP earnings. I’ll now turn to the year-to-date results. Services revenue, excluding reimbursable expenses, were $457 million for the six months ended June 30, 2023, a 4% increase over the prior year. Year-over-year organic services growth was 0.6%. Services gross margin, excluding reimbursable expenses and stock up was 38.6% for the six months ended June 30, 2023, compared to 39.4% in the prior year. SG&A expense was $88.1 million for the six months ended June 30, 2023, compared to $83.1 million in the prior year period. SG&A expense as a percentage of revenue increased to 19%, compared to 18.7% in the prior year. Again, the increase in SG&A expense was primarily related to increases in sales related costs. Adjusted EBITDA for the six months ended June 30, 2023 was $98.3 million or 21.2% of revenues, compared to $98.5 million or 22.1% of revenues in the prior period. Amortization was $11.3 million, compared to $12 million in the prior year period. Net interest expense for the six end June 30, 2020, decreased to $800,000 from $1.7 million in the prior year period primarily due to $800,000 of increased interest income. Our effective tax rate was 25.8% for the six months ended June 30, 2023, compared to 23.3% in the prior year period. Net income for the six months ended June 30, 2023, was $53.2 million, compared to $54.9 million in the comparable prior year period. Diluted GAAP earnings per share decreased to $1.48 for the six months ended June 30, 2023, compared to $1.52 for the prior year period. Adjusted earnings per share increased to $2.04 for the six months ended June 30, 2023, from $2.03 in the comparable prior year period. Our ending billable headcount at June 30, 2023, was 6,320, including 5,936 billable consultants and 384 contractors adding SG&A headcount at June 30 was 989. Our outstanding debt, net of deferred issuance costs as of June 30, 2023, was $395.7 million. We also had $60.5 million in cash and cash equivalents as of the end of the quarter and $299.9 million of unused borrowing capacity on our credit facility. Our balance sheet continues to leave us very well positioned to execute against our strategic plan. Finally, operating cash flow increased to $65.1 million for the six months ended June 30, 2023, from $34 million in the comparable prior year period, primarily due to a reduction in accounts receivable. I’ll now turn the call over to Tom Hogan for a little more commentary behind the meter. Tom?
Tom Hogan: Thank you, Paul. Good morning, everybody. We booked 30 deals greater than $1 million during the second quarter of 2023, compares to 45 in the second quarter of 2022 and 63 in the first quarter of 2023. While volume did slow during the quarter to worth pointing out, thanks to a few very large deals, including the record-setting win Jeff referenced earlier, our average deal size was larger than ever before in the quarter. Our net pipeline weighted, unweighted, remains very solid. We continue to remain well diversified from a customer industry and platform perspective. Healthcare and financial services remain the strongest verticals, but we’re also excited about our momentum in both the manufacturing and automotive. We’re already working with many of the largest entities in each of those industries and others are beginning to understand the deep domain expertise, experience and strategic insights we can bring to their business. For example, in the coming weeks, we’ll release proprietary Electronic Electric Vehicle [ph] market study in which we surveyed more than 1,000 EV and non-EV owners and interviewed consumers, dealers and OEMs to better understand the barriers and rationale for purchasing EVs. Market insights are a significant focus area for OEMs, as they prepare for the continued growth in the EV segment and need to build lifetime relationships with owners. We look forward to sharing our industry research and further assisting OEMs under EV journey. Jeff mentioned the substantial eight-figure win in the manufacturing space earlier. That’s a project delivered globally with Perficient colleagues from the U.S., Latin America and India. Another example of our seamlessly integrated global delivery leveraging talent from our three primary regions, is where we’re assisting a privately held global producer and distributor of architectural products and creating modern cloud-native and user-friendly web application. Our global team modernize and consolidate several legacy applications into one application that analyzes several product variables to help the distributor create optimal product for its buyers. After initially launching in Poland, a supplement launch in Italy planned later this year will kick off the applications rollout to all the distributors to their global plans. You can [ph] recall on last quarter’s call, we discussed the launch of Envision Online, our comprehensive and unparalleled digital transformation platform that provides a suite of proprietary strategy tools, historical industry data and best practices to quickly deliver actionable insights. This data is collected across industries, markets and companies is informed by real life of execution and proven results. Enterprises can quickly understand where they stay relative to competitors, determine where gap exists and how to address them. Since launching in April, we’ve continued to mature a platform, which now defines more than 500 capabilities across 13 key business areas such as marketing, sales, AI, customer service, commerce, loan origination and servicing, automation and data, just name a few. The platform selection component now includes more than 500 vendors and 6,700 requirements across more than 70 platforms, including digital experience, commerce, marketing and AI. We currently have projects leveraging the tool with large customers to have discussions assessments that several more and meaningful inbound interest beyond that. Obviously, there’s a lot of discussion around generative AI and its near- and long-term impacts on enterprises, industries and society. AI in general is a space we’ve been in for many years, going all the way back to IBM or Watchman among other tools. We have launched outlets, AI, chatbot, data, customer-centric and machine learning platforms and products for our clients. Today, we have significant dialogue and engagement around generative AI with customers as they assess what’s the next step in this technology means for them in terms of risk and opportunity for their organization and their clients. I don’t think a day goes by that we are engaged with clients on generative AI, and most importantly, we’re actively doing billable work, implementing solutions with clients and talking with many more. Companies are turning to Perficient to a partner to help them understand the potential in leveraging generative AI. I’m also excited to share that we have launched the first of its kind global innovation group of Perficient around generative AI. We have hundreds of our colleagues around the world collaborating, sharing knowledge and developing use cases for our customers, specifically leveraging generative AI. Our customers have always appreciated our practitism, experience and expertise when working to tackle new areas of opportunity like generative AI leveraging a global team where our clients can tap into the best talent in the industry, independent physical location around the world to solve challenges. This is exactly why organizations turn to Perficient. Finally, it’s worth noting, Perficient was recently recognized as the number 12 Top Employer in the United States on Energage’s list of top 100 employers. Energage surveys is more than 70,000 organizations annually, so to be ranked number 12 in the entire country is something we’re very, very proud of, particularly because the recognition stems directly from feedback of our colleagues and the -- and feedback they provided. The best and brightest [ph] individuals or industry want to be part of our journey Perficient and it shows. And with that, I’ll turn things back over to Jeff.
Jeff Davis: Well, thanks, Tom. As I mentioned earlier, I was going to comment a little bit on my pending transition. This is somewhere near my 90th earnings call at Perficient kind of hard to think about. But I did want to thank the analysts here on the call and those who can’t join live and really appreciate your coverage and feedback over the years, it’s really been invaluable as we’ve grown. I also want to point out and reiterate as stated in the release that I’ll be remaining as Executive Chairman indefinitely and so I will still be a part of the team and thrilled about that. But beyond that, I have a tremendous amount of confidence, full confidence in Tom and the extended executive team, as well as all the rest of Perficient really. Our extended executive team represents folks that have been here on average 10-year, well over 10 years and experience in the industry approaching 20 on average. So we’ve got a deep bench, and I’m very confident in their ability to take this very special company forward, very talented, dedicated colleagues across the world working in Perficient. I appreciate all of them. And I think, again, we’ve got some really special here. I’m very proud of it and very proud of where the company is headed. Now I’ll turn my attention or our attention to the outlook. Perficient expects its third quarter 2023 revenue to be in the range of $220 million to $226 million. Third quarter GAAP earnings per share is expected to be in the range of $0.56 to $0.60. Third quarter adjusted earnings per share is expected to be in the range of $0.89 to $0.94 and we expect our full year 2023 revenue to be in the range of $900 million to $960 million, 2023 GAAP earnings per share to be in the range of $2.73 to $2.84, and adjusted earnings per share to be in the range of $3.93 to $4.05. With that, Operator, we can open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question. comes from the line of Kyle Peterson of Needham.
Kyle Peterson: Hey. Good morning, guys. This is Kyle Person on for Mayank. Thanks for taking the questions. I just wanted to touch on the outlook, particularly some of the weaker demand. Was there any concentration in verticals or types of projects that were hit particularly harder than others or was some of the softness just pretty broad-based?
Jeff Davis: Yeah. It was pretty broad-based. And again, I want to reiterate that the source is mostly delayed decisions or slower starts, a little bit of slower spending. But really, it’s kind of a gap in the bookings as it relates to some of these closes now. We are seeing some signs of improvement, but we’re trying to be very conservative here, obviously, and guide to a number that we’re comfortable with. And hey, if things are better than we expected and that’s great. But we don’t want it to be worse than we expect. So I would describe our outlook that way.
Kyle Peterson: Makes sense. And then just a quick follow-up on the cost side of things. And I know you guys mentioned that you had taken some actions on that and to go on the discretionary spending. How should we think about the margin trajectory as long as the demand environment remains a little bit softer here, should 3Q be the trough and then we start to get an improvement in margins in the fourth quarter or do some of the cost actions take a little bit longer to flow through the P&L?
Paul Martin: Actually, we’re going to see some modest benefit from those actions in the third quarter. I think the gross margin in Q2 was around 38%, a change and we’re looking at about 39% for Q3. So about a 70 bps improvement, 70 bp, 80 bp improvement there and then actually 40% for Q4. Obviously, that’s all dependent on the macro environment. But I think we’ve got things well at hand in terms of the reductions that we’ve made and any further ones that are necessary.
Kyle Peterson: Makes sense. That’s helpful. Thank you, guys.
Jeff Davis: Thanks, Kyle.
Operator: Thank you. Our next question comes from the line of Brian Kinstlinger of Alliance Global Partners.
Brian Kinstlinger: Congrats, Jeff. It’s been great working with you for over two decades. And…
Jeff Davis: Likewise, Brian, there’s a lot of history there. I think you’re pretty much so long.
Brian Kinstlinger: Remember when your company was acquired in. So you mentioned -- I want to follow-up on the margin question in the press release about getting back to industry-leading margins. With the delays, should we assume that you’re cutting billable staff to improve utilization or is it more on the overhead side?
Jeff Davis: It’s both. Fortunately, on the billable side, attrition is a natural element of the industry and the business. So we’re going to allow that to drive as much as we can before we take more aggressive steps. But we’ll do what we need to. I think we’ve got a long track record of doing that, but it will be a combination of both.
Brian Kinstlinger: Great. My follow-up, I think, this quarter, as well as last quarter, you mentioned your excitement around automotive. The numbers suggest the segment is down about 50% year-over-year. So I’m curious what caused that within the -- and then what makes you so excited about the trends that creates an opportunity for Perficient within automotive?
Tom Hogan: I think -- hey, Brian. This is Tom. I think part of that also is we classify some clients differently year-over-year. So it’s not a fair compare year-over-year. As we look at manufacturing and the OEMs, we run a segment that was a little more indicative of more manufacturing versus automotive. So year-over-year the true automotive is still up. But that’s what you’re seeing in the year-over-year comparison just new clients from one or the other.
Brian Kinstlinger: Thanks, Tom. And so particularly within automotive, is it -- what excites you so much? Is it that they relate to adopt digital transformation? Is there something going on with the industry? I mean, clearly, we all know the push to EV, but what does it all mean to Perficient and what’s the opportunity for you?
Tom Hogan: Candidly, we’ve had similar success with only a select few number of the OEMs and now we’re seeing more breadth and additional OEMs coming on board. So that’s really where that I see excitement is bring in new OEMs into our families that we can bring our Perficient story too. So it’s necessarily any issue specifically. It’s really more on bringing more clients at what we’re already doing in that space and that’s attracting the growth and why I’m excited about it.
Brian Kinstlinger: Great. Thank you so much.
Jeff Davis: Thanks, Brian.
Operator: Thank you. Our next question comes from the line of Maggie Nolan of William Blair.
Maggie Nolan: Hi. Thank you. On the demand side, are the slower start fairly widespread, were there, in particular, any large -- any particular clients or large deals that were slow to start, didn’t materialize in the way that you expected more so than others or maybe by vertical? Any color you can share there?
Jeff Davis: It’s pretty broad based, but if you dive into it, certainly, as you would expect, there was more impact from some of the larger engagements that we expected to start sooner than they have. I will -- and I’ll ask Tom to comment on this actually because we had some recent discussions about some modest improvement or some signs of -- some positive signs. I think there was a large engagement as an example that we’ve been working on getting off the ground for a number of ones now that have been delayed and delayed. But now is kicking off this quarter or even as we speak. So we are seeing -- again, I think, it’s good to note in a positive sign that is more delayed than out, also cancellations, some budget cuts. But I’d say it’s broad based. Tom, do you want to.
Tom Hogan: I agree. It’s definitely broad-based. The additional piece in there is, what we’re seeing is, some of these larger deals, which are excited about the larger deals we’re seeing and getting in front of, they’re incrementally starting, whereas we thought they were going to ramp up a lot faster than they were. So what we’re seeing is maybe a six-digit type of statement of work, or excuse me, eight-figure statement of work, turning into a station or a seven-digit work -- seven-digit statement of work. And incrementally kind of getting going to start and then making decisions in future quarters of when to ramp up the project and we have a handful of those. That’s what’s really bringing into the delay. So it’s not necessarily projects aren’t starting. It’s a matter of they are biting off smaller features and smaller products, which we’re getting going, which then we’re driving momentum, which then brings in the bigger buy down the line.
Maggie Nolan: Okay. That’s helpful. Thanks. And then you talked a little bit about where you expect gross margins to be by the end of the year in that fourth quarter and you mentioned perhaps there’s maybe some effort to drive some operating leverage as well. What should we expect in terms of SG&A as a percentage of revenue and your ability to kind of protect EBITDA margin?
Paul Martin: Yeah. So we’re active as we talked about looking at some cost reductions in SG&A and we’re looking to be able to get those back close to last year’s levels, maybe even a little better, because bonus is going to be less in 2023 than it was in 2022.
Maggie Nolan: Okay. Great. That’s helpful. Thanks and congrats to you both, Tom and Jeff, and thanks, Paul.
Jeff Davis: Thanks, Maggie.
Tom Hogan: Thanks.
Paul Martin: Thank you, Maggie.
Operator: Thank you. Our next question comes from the line of Puneet Jain of JPMorgan.
Puneet Jain: Hi. Thanks for taking my question and contracts to both Jeff and Tom. Excuse me…
Jeff Davis: Thank you.
Puneet Jain: I quickly wanted to start with like the overall demand macro environment. So what needs to happen for clients to turn on project-based spending? What are like the early indicators or trends that you watched that would suggest that things have begun to improve?
Jeff Davis: Well, it will be accelerated bookings, reaccelerated bookings. So we talked about the fact that obviously bookings slowed, which is what caused the miss in or at least the low end of the guidance in Q2 and would cause the guidance adjustment for the rest of the year. I do think there’s a broad-based issue here that, well, quite obviously, you’re not -- attrition way down in the industry. That’s a key indicator and a broad-based indicator as well. And so there’s something afoot here that isn’t isolated to us and I would say it’s been even isolated to the industry. So the short answer in this is just speculation on my part is that, I think, the sentiment and the outlook and the C-suites basically has to improve. And I think there’s a lot of uncertainty, I’d say, in the -- in factoring the macro environment right now and I think that’s exactly what’s driving some of this caution.
Puneet Jain: Got it. And just to be clear, so you are seeing like that the clients are -- you see like large deals in the pipeline, but the clients are delaying signing of those deals or they are…
Jeff Davis: That’s exactly…
Puneet Jain: … ramps of signed work?
Jeff Davis: It’s really both. The bigger impact comes from the delayed signings, but the delay in ramp up. And as Tom pointed out, it’s not necessarily a delayed start, but it’s a slower start than would be typical, because they want to kind of meter out that cash a little slower. So it’s really those two things, right?
Puneet Jain: And quickly, are there any currency FX impact, Colombian peso, it seems like had appreciated versus the dollar. So is there any FX impact to margins that we should think about?
Paul Martin: Yeah. So there has been a little more FX effect in Q3, primarily with LatAm is -- what the currencies have done there. But we had part of it, but there are some exposures as those -- as the Colombian peso strengthens against the dollar, that increases our costs.
Puneet Jain: Got it. Thank you.
Jeff Davis: Thank you.
Operator: Thank you. Our next question comes from the line of Vincent Colicchio of Barrington Research.
Vincent Colicchio: Yes. Congrats Jeff and Tom. Jeff, I think, this may have been asked, but it wasn’t clear to me. Is the -- has there been a shift towards cost reduction this quarter versus last quarter?
Jeff Davis: Yes. Yeah. I mean last quarter, keep in mind, the experience we had last quarter vis-à-vis the bookings was double-digit organic growth. And we’ve seen -- and that was the third incrementally -- incremental growth quarter in bookings. So third quarter improved, fourth quarter improved and the first quarter improved significantly. So we didn’t really see at that time that we were going to have a need for cost reduction. Obviously, that became apparent to us probably about the middle of this quarter as things started to shift pretty dramatically. So we begin to take those steps, but as I mentioned in the script, it takes a little time, obviously, for that to sink and we do expect to see benefits from the steps that we’ve already taken hit within this quarter.
Vincent Colicchio: That was helpful. But I was referring to cost reduction projects. Is that -- as you’re seeing a shift in demand towards that type…
Jeff Davis: Oh! Sorry.
Vincent Colicchio: No. No worries.
Jeff Davis: Yeah. Those are our own cost reduction projects. Yes. And I’ll ask Tom to comment on that. But yes, I think, I don’t know if we’ve seen an uptick in that. That’s always an important part of what we deliver to our clients. But I don’t know if we can see an uptick at that or not. I’ll let Tom comment on that.
Tom Hogan: Yeah. I would say, not materially, Vince, when we look at the project roadmap, there is definitely cost improvements and optimization projects in the digital transformation during we announced. There’s definitely been a focus to that reallocation of dollars to take dollars out. Absolutely, it’s happened. But there’s still a very healthy pipeline, of course, trying to bring revenue in. And so client engagement using new technologies, engaging customers differently. You go back a year, absolutely, it was more on revenue generation versus cost takeout. So yes, there’s been an increase in year-over-year projects and cost takeout, but they’ve always been there.
Vincent Colicchio: And has there been to-date any meaningful cancellations and do you expect any potentials coming here in the next quarter?
Tom Hogan: No. There hasn’t been meaningful cancellations. We’ve had a couple of individuals have slowed down a little bit. So they’ve shifted some project to less U.S. employees, more of our team in India or Latin America, but not help cancellations. And I don’t see any cancellations, if not on wood here in the quarter, those are conversations we’re having.
Vincent Colicchio: One last one. I assume it’s early to ask, but any thoughts on how coding efficiencies may impact your business from generative AI over time?
Jeff Davis: It’s early, as you mentioned. Right now, the conversation is really more around interacting differently with customers, interacting differently with applications. There are some things we’re using internally to look at what we can do on the software development life cycle to use generative AI tools, not basically on coding, but more testing and things of that nature. So we’re playing with all of it to see where it goes. But to your point, I think, it’s early. And if nothing else right now, we see a lot of the conversation about how we interact differently with our customers. Is it really more of the conversation versus how to use this technology to generate code?
Vincent Colicchio: Thanks, Jeff.
Jeff Davis: Thank you.
Operator: Thank you. Our next question comes from the line of Divya Goyal of Scotiabank.
Divya Goyal: Good morning, everyone Congratulations, Jeff. Congratulations, Tom. Talking about this demand here, I wanted to understand what is the level of visibility that you have in your client demand? And can we -- is it fair to assume that any sort of cancellation or delays have already been baked into this new guidance or can we potentially see more coming in the quarter ahead?
Jeff Davis: Yeah. I’m going to answer the first part of that and then I’ll let Tom address the second part. But this is a dynamic business, Perficient’s dynamic, maybe within an industry that’s very dynamic, within an economy that’s very dynamic right now, as I mentioned earlier. So things can change pretty rapidly and we’re not the only one seeing that, of course. So I’d say a broad-based answer, we certainly believe that we’ve got so caution baked in. It’s not impossible that it’s more than we think. It’s also possible, but it’s better than we think. But Tom has more specific to the second half or anything else you want to add, I’ll let Tom take.
Tom Hogan: I think, Divya, as we look at the year, and as Jeff was mentioning for the last sequential quarters regarding booking results, we were using that for our decision making and what the future quarter would look like. Using the same information that we know about Q2, what we’re seeing in current conversations with our customers, we think that we have the right level of guidance for Q3, as Jeff mentioned, is dynamic. But all the data we know now and the conversations we’re having, we think this is directionally correct for the quarter. But as Jeff mentioned, it’s dynamic and could change one way or another, but I think, it takes into effect everything we’ve learned in the last couple of months as we look to the second half of the year.
Divya Goyal: No. That’s helpful. So, Jeff, one thing, if I heard it right, I wanted to reconfirm. You did mention that the customers have been okay with the rate increases. When we look at the broader sector, we hear about the pricing pressure increasing. So it just seems -- the two thoughts seem a little contradictory. I’d appreciate if you could provide some more color on these rate increases versus the pricing pressure on the business.
Jeff Davis: Yeah. I think that’s a testament to the value of the work that we’re delivering. We’ve really shifted the portfolio over the last several years to those items that are high value, high demand, high ROI. So clients’ tolerance level, because they understand that to deliver these things that are critical in terms of the timeframe that they’re trying to deliver them, they’re meeting market goals and so it’s critical that we meet things to deliver things on time and also with high quality. So we’ve got a proven track record of demonstrating the ability to do both of those things and so clients come to us and rely on us to do that and they don’t mind paying a little more to get it.
Divya Goyal: That’s great color. Just one last question for me. I was trying to understand if you’re seeing any change in dynamics when it comes to the onshore versus the nearshore and the offshore business? Are you seeing reshoring picking up at all or are you seeing that cost saving initiatives and enhancements towards the nearshore, offshore demand to continue to pick up?
Jeff Davis: I’ll let Tom respond to that. I think we’ve got a great dynamic going there, but I’ll let Tom answer.
Tom Hogan: Yeah. We continue to see individual organizations liking our Latin America and India story. Also to the pricing pressure. That’s also the or at least we have this, we built out global depth around the world, it’s not sacrificing the quality of talent as you ship delivery to Latin America or to India is also how we’re able to maintain ABR. So as we’re looking to reduce ABR for our clients, we leverage our teams in Latin America or India versus having to sacrifice ABR on our U.S. team. As far as reshoring, I’d say that, that’s the pendulum that goes back and forth, but right now, definitely not in the situation that we’re seeing. A couple of clients have always been interested in that always will be. But the majority of our organizations are looking for that global dynamic organization that we continue to see.
Jeff Davis: Just to add one more thing there. As Tom highlighted, LatAm, India, North America, we had clients on a fairly regular basis and I’m talking large sophisticated Fortune 100 companies talk about the fact that we’ve got a more cohesive integrated strategy to deliver from any one of those geos and bring together the best team, the best value that we can for the customer. And the feedback that we’re getting from at least to some of those is that we’ve got a better capability there than even some of your household brand names in the industry.
Divya Goyal: That’s good to know. Thanks a lot for your answers everyone.
Operator: Thank you. Our next question comes from the line of Jack Vander Aarde of Maxim Group.
Jack Vander Aarde: Okay. Great. Good morning, guys. Congrats Jeff and Tom on your next leadership roles. I’ll just start with a question on the M&A front. I don’t think that’s going to address yet during this call. So any updates on M&A and potential acquisitions as we head into the second half of 2023. And just any changes to the overall acquisition strategy that you’ve mentioned in the past? Thanks.
Jeff Davis: Yeah. We’re planning a fairly slow game there due to the -- the valuations are really high. Obviously, some uncertainty in the industry. So we want to make sure we’re picking carefully. That said, we do have a couple of firms that we’re looking at that we’re in early stages, but moving along, moving the ball along, we’ll see how those play out. Still intended to use M&A as a part of our overall strategy. But, yeah, probably, play a little bit of a slow game right now there.
Jack Vander Aarde: Okay. Great. I appreciate the color there. And then just back to the overall pipeline and just kind of general sense of customer contracts, larger contracts, sales cycles. Just -- how would you compare maybe your level of visibility and comfort levels with forecasting your deal pipeline and conversions and potential risk of cancellations to maybe what you were looking at a year or two ago during the pandemic and most risk of cancellations in contracts. Just what’s your level, how would you compare, where we are today versus your outlook maybe a couple of years ago?
Jeff Davis: Yeah. I would say that the pipeline remains strong. I would like to see the gross pipeline even larger than it is, and obviously, we’re working on that and actually seeing some improvement there. It’s still up, by the way, pretty substantially. It’s a matter again of getting those deals closed and getting them closed in a timely manner. So visibility, I think, is similar to what it’s always been in terms of outlook. What has obviously muddied the waters here a little bit is that what’s shifted, as we mentioned before, is that some of these delayed starts, some of these slower starts are really just hard to predict. They are atypical of our experience. So it’s difficult to predict those. Again, as we mentioned earlier, I think, we’ve done a pretty good job of baking in as much of that as we can. It’s a cautionary measure for the second half. But again, it’s -- things can change pretty quickly.
Jack Vander Aarde: Okay. Great. I appreciate the color there, and again, congrats to you guys in new roles. Thank you.
Jeff Davis: Thanks, Jack.
Operator: Thank you. I would now like to turn the conference back to Jeff Davis for closing remarks. Sir?
Jeff Davis: Yes. Thank you all for your time today and thank you all for the last 20 years that I’ve had in this role, 22 years. And as I said, I will still be around, but not necessarily in this forum anymore. So thank you all. It’s good fun. I’m sure Tom and Paul look forward to speaking to you in about 90 days.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.